Operator: During the course of the conference call, ADTRAN representatives expect to make forward-looking statements, which reflect management's best judgment based on factors currently known. However, these statements involve risk and uncertainties, including the successful development and market acceptance of new products, the degree of competition in the market for such products, the product and channel mix, component costs, manufacturing efficiencies and other risks detailed in our annual report on Form 10-K for the year ended December 31, 2009, and Form 10-Q for the quarter ended September 30, 2010. These risks and uncertainties could cause actual results to differ materially from those in forward-looking statements, which may be made during the call. Thank you. It is now my pleasure to turn the call over to Mr. Tom Stanton, CEO. Mr. Stanton, you may begin your conference.
Thomas Stanton: Thank you, Nicole. Good morning, everyone. Thank you for joining us for our Fourth Quarter 2010 Conference Call. With me this morning is Jim Matthews, Senior Vice President and Chief Financial Officer. I'd like to begin this morning by discussing our Q4 performance, before we move on to a review of 2010, and I'll end with some comments on what we expect in 2011. As stated in our press release, ADTRAN achieved all-time record revenues of $165.3 million in the quarter. The outperformance was driven by revenue acceleration in our growth areas, which grew 50% over the same period last year, offsetting a normal seasonal decline in our traditional product areas. Our growth areas benefited from an increasing demand for higher speed services from residential and business customers in both fixed and mobile applications and the continued migration towards IP services. Both carrier and enterprise divisions benefited from these trends. Combined, our growth areas achieved a record $101.4 million in revenue representing 61% of our company total. The Carrier Networks Division reported an impressive 39% increase in revenue over the same period last, and our Enterprise Networks Division benefited from another strong performance in our Internetworking category, which grew to another record revenue level. Getting into a little more detail. Our Broadband Access category set a new record achieving 75% growth over the same period last year. As expected, the Total Access 5000 platform led this growth. But this area also benefited from a meaningful contribution from our professional services group as carriers took advantage of the expanded solutions we offer. As previously mentioned, our Internetworking category achieved another record revenue level as a result of our expanding VAR dealer base and market share gains in Tier 1, Tier 2 and competitive service providers. Our mobility products continue to perform well with Optical Access growing 20% over the prior year, achieving a new record level as carriers continue to increase investment in network upgrades. HDSL also showed another strong performance as expected. Looking back on 2010, we clearly saw the effectiveness of our strategies, as we experienced strong outperformance across most categories. Revenues from our combined growth areas expanded 40% for the year, leading this outperformance, as we gained market share and our customers increased investment in the strategic areas our solutions address. Additionally through the year, we saw renewed strength in HDSL as carriers increased deployments to cost effectively and quickly add capacity to their mobile networks. For the total year, our Broadband Access category grew an impressive 58% leading our overall revenue growth. The customer base for the Total Access 5000 platform continued to increase in 2010, and we began to see meaningful shipments from prior awards. Our fiber-to-the-node products benefited from an expanding product set, which was embraced by both domestic and international carriers. Carriers around the world are seeing the requirement to increase their service offerings and many are realizing the benefits of a complete network solution, encompassing the diversity of deployment strategies that our Total Access product line now offers. From fiber-to-the-curve to fiber-to-the-node to fiber-to-the-premise to our newest Ultra Broadband Ethernet products, ADTRAN now delivers the most complete set of solutions to meet the complex needs of individual carriers. For the total year, Internetworking revenue grew 39%. Growth occurred across all product areas, including routers, Ethernet switches, IP gateways, access termination products and of course our IP PBX segment. In our enterprise group, we were pleased to see both quarterly and full year growth across all of our distribution channels. Our focus on recruiting the industry's most capable value-added resellers while continuing to extend our presence within our carrier channels, positions us well for the future. For the total year, our optical access category achieved another record revenue level as mobility upgrades drove demand in our carrier customer base. We expect recently introduced optical products will provide new opportunities for this category as carriers upgrade bandwidth capabilities in both fixed and mobile networks. For 2011, we expect the Total Access 5000 family and our fiber-to-the-node platforms will continue to grow across all carrier classes, driven by fiber deployments, Ethernet migration and higher speed broadband requirements. We expect our fiber-to-the-node, fiber-to-the-curve, GPON, active Ethernet and recently introduced capabilities such as OTN and Ultra Broadband Ethernet products will benefit from investment in bandwidth expansion, government and regulatory-driven footprint expansions and Ethernet conversion initiatives spanning across all our carrier customer segments. We also expect our professional services capabilities will add incremental revenues in 2011 and beyond, as carriers seek to cost effectively accelerate their deployments. In addition, we anticipate our continued focus on market share, markets outside of the U.S. will add meaningful revenue growth in 2011. We believe Internetworking will continue to maintain its current positive momentum with benefits from market share gains and new product offerings such as Unified Communications and Unified Threat Management. During 2011, we believe we will continue to see the benefit of mobility upgrades in fiber and copper products, as wireless carriers augment their mobility network capacity utilizing a mix of different technologies. In summary, on a macro level, increasing competition, driving accelerating broadband deployments, an intensive upgrade of mobile infrastructure, channeled expansion in our enterprise segment, meaningful sales initiatives outside the United States, government regulatory initiatives, coupled with an innovative, diverse and expanding product portfolio, lead us to be optimistic about the year ahead. I would now like Jim Matthews to review our results for the fourth quarter 2010 and our comments on the first quarter 2011. We will then open the conference up to questions. Jim?
James Matthews: Thank you, Tom, and good morning to everyone. Revenue for the fourth quarter increased 33% to a record level of $165.3 million compared to $124.2 million in Q4 of 2009. Broadband Access product revenues for Q4 of 2010 increased 75% to a record level of $49.7 million, compared to $28.3 million for Q4 of 2009. This increase was primarily related to continuing growth and deployments of our TA 5000 platform and professional services revenues recognized in the quarter. Internetworking product revenues for Q4 of 2010 increased 37% to a record level of $31.6 million compared to $23 million for Q4 of 2009. Optical Access product revenues for Q4 2010 increased 24% to a record level of $20.2 million compared to $16.3 million for Q4 of 2009. Carrier Systems revenues for Q4 of 2010 increased 44% to a record level of $81.7 million compared to $56.9 million for Q4 of 2009. Business Networking revenues for Q4 of 2010 increased 25% to a record level of $34.8 million compared to $27.9 million for Q4 of 2009. Loop Access revenues for Q4 of 2010 increased 24% to $48.8 million compared to $39.4 million for Q4 of 2009. HDSL product revenues increased 29% to $45.8 million for Q4 of 2010, compared to $35.4 million for Q4 of 2009. As a result of the above, Carrier Networks Division revenues for Q4 of 2010 increased 39% to $130.3 million, compared to $93.9 million for Q4 of 2009. Enterprise Networks Division revenues for Q4 of 2010 increased 15% to $35 million compared to $30.4 million for Q4 of 2009. International revenue was $8.5 million for Q4 of 2010 compared to $7.7 million for Q4 of 2009. To provide the reporting of each of these categories, we have published them on our Investor Relations webpage at www.adtran.com. Gross margin was 58.6% of revenue for Q4 of 2010 compared to 59% for Q4 of 2009. The lower gross margin was largely attributable to professional services revenue recognized in Q4 of 2010. It is important to note that this new revenue stream was accretive to operating margins in the quarter. Research and development expenses were $22.5 million for Q4 of 2010 compared to $21.3 million for Q4 of 2009. This increase in expense was primarily related to an increase in staffing costs and customer-specific projects. Selling, general and administrative expenses were $29.4 million for Q4 of 2010, compared to $25.9 million for Q4 of 2009. This increase in expense was primarily related to an increase in staffing costs and selling activities in the U.S. and abroad. Stock-based compensation expense, net of tax was $2.3 million for Q4 of 2010 compared to $1.8 million for Q4 of 2009. All other income, net of interest expense for Q4 of 2010 was $3.9 million compared to $1.3 million for Q4 of 2009. The increase is primarily related to an increase in realized investment gains. The company's income tax provision rate was 26.3% for the fourth quarter of 2010 compared to 32.3% for the fourth quarter of '09. The tax provision rate for the fourth quarter of 2010 included a benefit of $480,000 resulting from the exercise in employee incentive stock options in the quarter and a benefit of $4.5 million, as a result of legislation to extend research tax credits for the year 2010. In the fourth quarter of 2009, the company recognized no more benefits from research tax credits. Earnings per share, assuming dilution for Q4 of 2010, increased 93% to $0.56 compared to $0.29 for Q4 of 2009. Inventories were $74.3 million at quarter end, up $4.3 million for Q3 of 2010. The increase was driven by higher-than-anticipated volumes related to new installation services contracts in the U.S. and Latin America. Revenues related to these contracts will be recognized in future quarters and net trades accounts receivable were $70.9 million at quarter end, resulting in DSOs of 39 days. Unrestricted cash and marketable securities, net of debt totaled $396 million at quarter end after paying $5.6 million in dividends during the fourth quarter and repurchasing 251,300 shares of common stock for $8 million. Due to the book-and-ship nature of our business and the timing of near-term revenues associated with large projects, it is our policy not to give specific guidance for the quarter or for the year. However, we would like to give color to help you formulate your views on our near-term business outlook. For the first quarter of 2011, we anticipate revenues will be flat to slightly down on a sequential basis. This represents year-over-year revenue growth for the first quarter to be in excess of 45%. We expect first quarter operating expenses will be in a range similar to what we experienced in the third and fourth quarters of 2010. We believe the larger factors in impacting the revenue we’ve realized for the first quarter and the year will be the following: Spending levels at our Tier 1 and Tier 2 carrier customers; the adoption rate of our Total Access 5000 platform; professional services activity levels, both domestic and international; upgrades for mobile broadband infrastructure; an improving enterprise spending environment, the timing of revenue related to broadband stimulus projects. Tom?
Thomas Stanton: Thanks, Jim. Nicole, we are now ready to open it up for any questions people may have.
Operator: [Operator Instructions] Your first question is from Todd Koffman of Raymond James.
Todd Koffman - Raymond James & Associates, Inc.: Tom, in your prepared remarks, you called out international as a meaningful growth opportunity for 2011. Historically, that's been a relatively small, less than 5% or something of ADTRAN's business. Can you give any more color on why you called that out?
Thomas Stanton: Sure, Todd. We have, as you know, been really increasing our focus on trying to sell products outside of the U.S. for some time. And we have some historic customers that have bought some things time-to-time, and mainly in Latin America. And we've seen some traction there that we feel very comfortable with that we've got some good progress going on. Jim had noted one of the reasons for the uptick in inventory is the fact that we actually have some products in place right now, in-country right now actually going through an installation process, which of course gives us a greater level of surety as to where that customer actually stands.
Todd Koffman - Raymond James & Associates, Inc.: What's your latest and greatest thinking regarding the HDSL business if you look out the next few quarters?
Thomas Stanton: We've seen some very strong growth in, well, let's say uncommon growth in 2010 or unexpected growth. Probably not so much uncommon, it's just unexpected. Because, we, like a lot of people were expecting it to start tailing down and we saw the pickup due to wireless spend actually bolster that more than we had planned and we had to adjust for that. Coming out of the year it feels, to be honest with you, very similar to the way it felt most of last year. There's selling off a lot of activity around HDSL. There's an awful lot of planning going on around HDSL. So we wouldn't be bold enough to say that we expect a growth year in HDSL. We would still take a look at the full year not knowing. And as you know, we're very much a book-and-ship business. But not knowing what the full 12 months will look out, we'd still be conservative and try to say -- and talk about it being down kind of in the single-digit range. But it could very much surprise us again this year like it did last year. And I will tell you, it's starting off and it feels -- the environment right now feels strong.
Operator: The next question is from Paul Silverstein of Credit Suisse.
Paul Silverstein - Crédit Suisse AG: First off, can you all share with us the 10% customers and what they contributed?
James Matthews: Hi, Paul, this is Jim. So AT&T was at 16% in the quarter. Verizon was at 10% and Qwest was at 19%.
Paul Silverstein - Crédit Suisse AG: Okay. And I know you don't want to give too much on any individual customer, but given the Century/Qwest merger acquisition, can you give us any color on what you all have seen there?
Thomas Stanton: Yes, from our opinion and from the conversations we've had, which we still stay very well-connected, we see no change in behavior and really no change in major plans. I think that we haven't seen a slowdown as Jim kind of just reflected in our numbers. So we're still feeling positive about the ultimate combination and merger and what that opportunity could bring, but we haven't seen any change to date.
Paul Silverstein - Crédit Suisse AG: Okay. On the Broadband Access piece, Jim, Tom, can you all give us any incremental color, hopefully numbers, but if you don't want to go there, some incremental color in terms of how much of the growth is a function of TA5000? And how much is a function of your FTTN and TA 1100 business?
Thomas Stanton: The majority of the growth, it depends on what period of time you are talking about. And almost any period of time, the growth has been driven by the 5000 platform. The major piece of the growth has been driven by the 5000 platform. The fiber-to-the-node stuff goes through some seasonality, of course, because of the new customers we're bringing on in 2011. I think we're going to see growth in both areas, so it will be interesting to see which one outgrows which. But in 2010, it was definitely Total Access 5000, that was the driver.
Paul Silverstein - Crédit Suisse AG: Tom, this past quarter, was fiber-to-the-node up?
Thomas Stanton: Jim?
James Matthews: Are you talking about sequentially or year-over-year, Paul?
Paul Silverstein - Crédit Suisse AG: Sequentially.
James Matthews: No.
Paul Silverstein - Crédit Suisse AG: And is that business still largely -- I hear you talking about incremental customers coming, but is that currently still largely levered to Telmex and one or two others?
Thomas Stanton: Well, I mean, the biggest customer we have to date in fiber-to-the-node is a U.S. customer.
Paul Silverstein - Crédit Suisse AG: Right, Qwest, okay.
Thomas Stanton: And I would say that we shipped -- we recognized very little revenue, relatively small amounts of revenue outside of the U.S. and we expect that to change going into 2011. By the way, I think the right way to think about the fiber-to-the-node is flattish.
Paul Silverstein - Crédit Suisse AG: Flattish for 2011, Tom? Or flattish for Q1?
Thomas Stanton: Flattish in a sequential basis from three to four.
Paul Silverstein - Crédit Suisse AG: Three to four. And so going forward, can you give us some insight on what you're expecting from the FTTN going forward?
Thomas Stanton: Well, it typically sees a seasonal pattern and we would expect to have seen the same seasonal pattern it typically sees, which is it actually typically picks up at sometime in the earlier part of the year as budgets get released and then it kind of peaks around second to third quarter and a lot of times you’ll see it flat second to third. And then it usually tails down just a little in the fourth quarter. I would say general direction-wise that's what we would expect. Hopefully that all the numbers will be bigger, but that's what we expect.
Paul Silverstein - Crédit Suisse AG: Okay. And, Tom, did you all quantify broadband stimulus impact?
Thomas Stanton: We did not.
Paul Silverstein - Crédit Suisse AG: Could you?
Thomas Stanton: There was some broadband stimulus revenue. I would not say that it was a meaningful mover in the fourth quarter.
Paul Silverstein - Crédit Suisse AG: Are you expecting that to increase significantly in Q1?
Thomas Stanton: I wouldn't try to forecast the specific quarter. We expect it to be definitely more meaningful in 2011 than in 2010.
Operator: Your next question is from Tal Liani of Bank of America.
Tal Liani - BofA Merrill Lynch: I'll just continue with the last question. On broadband stimulus, first, can you describe the competitive landscape? From your point of view, how do you see -- who are the competitors? And then, if it comes the way you see it, is it going to be meaningful in 2011 already? And here I'm referring to, do you think that shipments and revenue recognition could be in the same year? Or will revenue recognition be at the later part?
Thomas Stanton: Sure. I think that there are a few competitors in that space. Some companies that have been at it for a long time, specifically selling to the Tier 2s and Tier 3s and then there’s been some that have kind of started dabbling in it more than they had historically. We think we're positioned well. We've got a number of wins, both across Tier 2s and Tier 3s. And as you well know, there are an awful lot that have yet to be decided, and we think we are well-positioned in definitely our fair share of what's yet to be decided. So yes, we would expect it to be meaningful in 2011. And as far as the revenue recognition piece, it really depends on the customer. So I would say in general, in our Tier 2 space, we would expect to be able to recognize the revenue definitely in the same year, let's stay in the same 12-month period. For some of the smaller once where they go through distribution and there may be some type of RUS funding. A lot of those, the distribution channel may front that and we would see it and some of it we won't. So I think it will be a diverse group but in definitely a large percentage of the cases we would expect it in the same 12 calendar month.
Tal Liani - BofA Merrill Lynch: Is revenue recognition in this case different than revenue recognition, is it longer or shorter than revenue recognition with your current businesses?
Thomas Stanton: It depends on the customer. So you can almost think of it as the larger the customer, the more it is very much similar to what we're doing today. Is that the right way to think about it, Jim? Let me make sure Jim's definitely...
James Matthews: Well, the bulk of the revenue that we recognize today is based on shipment. And as we look at broadband stimulus, there can be situations where the revenue recognition is delayed a bit, depending on who the customer is based on certain milestone requirements that may be a part of the contract. So as Tom said, it's really going to depend on who the customer is. And I think that's going to apply to both Tier 2- or Tier 3-type customers.
Tal Liani - BofA Merrill Lynch: And going back to the first question, I think I didn't clarify my question. Do you think that you're going to see competitors such as Juniper, Cisco, kind of large companies, Alcatel in this space? Or do you think that this space, Tier 3, Tier 4 carriers and broadband stimulus is more left to smaller companies like yourself, Calix and others?
Thomas Stanton: I think that we're seeing them today. But they're typically being successful in different areas of the market than where we're competing. So the broadband stimulus can cover multiple areas of a network, including middle mile as well as access. And I think you're seeing some success with some of those vendors in areas -- I'm not aware of them being successful directly competing with us in the access space.
Tal Liani - BofA Merrill Lynch: Money or spending was awarded already. As far as I understand, the majority of it was awarded already late last year. What takes so long to select the vendors?
Thomas Stanton: You have to ask the customers that. So some of them know what they want to do. Some of them are yet going through RFP processes or different processes like that to figure out what vendors they want to use for what. But the awarding of the money, of the government basically naming who is going to get money from a carrier perspective and the award from the carrier to the vendor are two disjointed events.
Operator: Your next question is from Ari Bensinger of Standard & Poor's.
Ari Bensinger - S&P Equity Research: You talked about Q1 guidance of flat to slightly down. Can you give more color per segment? And also, you talked about a growing Professional Services business; can you help quantify that business? And as it grows, how will it impact gross margin?
James Matthews: So as far as the services-type business that we spoke of in our prepared remarks, we did see a nice increment in Q4. We did mention that it impacted gross margins. However, it certainly was accretive on operating margins, which is very, very important to us. Now to add a bit more color to that, if we were to remove the effect of those professional services revenues, in terms of the impact on gross margins, we would see gross margins closer to what we experienced in Q3 to kind of give you a flavor on the impact on gross margins. But again, I want to emphasize that from an operating margin standpoint, those revenues are certainly accretive, and we look forward to those revenues growing as we go through 2011.
Ari Bensinger - S&P Equity Research: Right. And also, any color on per segment basis?
James Matthews: Well, as far as on a per segment basis, we would expect that our traditional products would probably be sequentially down. Certain parts of our growth products typically are sequentially down in the first quarter like Optical Access, potentially Internetworking. Broadband Access, I think is going to be, again, based on overall activity that we see in Q1, as to how much of an offset we might see there in terms of a potential sequential uptick. But again, that's going to be based on the activity that we see in Q1.
Operator: The next question is from Simona Jankowski of Goldman Sachs.
Simona Jankowski - Goldman Sachs Group Inc.: I wanted to ask you first about AT&T's recent announcement on accelerating the move to LTE. Can you just give us some insight on how that might flow through to you in terms of both your HDSL business and also any offsetting opportunities in terms of their Ethernet-over-fiber rollout?
Thomas Stanton: Sure. To be honest with you, it's unclear to us right now exactly how that acceleration will manifest itself in what exact access technologies they'll be using for different regions. I mean you can think of it as a regional play. You can also think of it as a kind of urban versus rural connectivity. Our opinion is that our sales to AT&T for the mobility pieces, at least through 2011, will be kind of consistent with what we have seen in the past and that it will affect both our HDSL business and our Optical business. And as to exactly how they actually rollout LTE to larger sites, we do think Ethernet-over-fiber will be a larger play to that, but it's just unclear to us exactly what the timing will be on that.
Simona Jankowski - Goldman Sachs Group Inc.: And I mean I guess in terms of your relative positioning there, obviously, you're very big there on the HDSL side. What is your position on the Ethernet-over-fiber side? Is that a similarly big business for you? Or does it have the potential to be, so that if that were the direction they went, at the expense of HDSL, it would be net-net accretive to you?
Thomas Stanton: Yes. Well, our position with AT&T right now is we sell of course HDSL, we sell Ethernet over Copper and we sell optical gear for the backhaul network. But the native Ethernet-over-fiber business is not a business that we participate. We sell the Ethernet over SONET-type stuff, and that type of product set to them.
Simona Jankowski - Goldman Sachs Group Inc.: Okay, all right. And the other question I had is on the Optical Access business, which was better than seasonal in the fourth quarter, and it seems like that brought some of the upside in the quarter. Can you just give us a little more insight on what drove that, and was it led by your biggest customer there or was it broader than that?
James Matthews: Yes, the Optical Access activity that we saw in the fourth quarter was actually fairly broad. It was not across a single customer.
Thomas Stanton: But I would say if you to take another look into that, I would it say it was definitely driven by mobility, as to the ad stuff.
Simona Jankowski - Goldman Sachs Group Inc.: Okay. And then just last question is on your off-margin targets which are, obviously your margins have been kind of running ahead of your mid-20s target for a couple of quarters now. And it seems like if anything, with you expanding into services, that's likely to continue. I mean, do you feel like the mid-20s is still a reasonable target for your business model? Or at this point, would you think that something in the high 20s is sustainable?
James Matthews: We're still targeting the mid-20s as our long-term target.
Simona Jankowski - Goldman Sachs Group Inc.: And you think that investment would be on the products side or on the services side, as far as increasing investment in OpEx to get to that target?
Thomas Stanton: Well, it would actually be multiple facets. As we grow the business, we typically will add, and we have, over the last few years added more to the R&D line and we continue to do that. We've also added to the sales and marketing people in the field, especially as we were breaking outside of the U.S. And then the services pieces, a lot of that is work that actually would flow through and is variable with the cost of the project. So I don't know if it’d be whole lot of infrastructure that's kind of pre-positioned for that growth. I think that growth and that expense has come as that business came along.
Operator: The next question is from Amir Rozwadowski of Barclays Capital.
Amir Rozwadowski - Barclays Capital: Just wanted to talk a bit more about sort of the growth trajectory of the business here, if I may. With the fourth quarter results, I mean, you've got four consecutive quarters of accelerating top line growth. And if we look towards your guidance, certainly a bit of a step down in terms of that growth trajectory at 25% year-over-year, but fairly healthy and certainly above your full year growth for 2010. I'm just trying to understand sort of the sustainability of this growth level. You had mentioned that HDSL right now, from an operating basis, you'd expect it to be down single digits, but it seems like you've got a number of other factors where you're continuing to see new revenue opportunities with a number of carriers. So just trying to gauge, sort of, at what level you think that sort of growth is sustainable?
Thomas Stanton: Well, the way we're looking, and here, again, we're talking about a full year that hasn't, that is still 12 months away from us. And I agree with you, I mean we have an awful lot of drivers. I think in my comments I listed a lot of those drivers. Those drivers are not just with our current Broadband customer base, but an expansion of that customer base that we're much more comfortable talking about than we were going into 2010. So there's an awful lot of opportunity there. If you look at the Q1 guidance, the Q1 guidance is basically taking a look at historically what happens and what happens to these product areas on a percentage basis, and kind of deriving those off of the new top line numbers, which of course we're comfortable with going into next year even with that type of increase because of where the baseline has moved to. But trying to get more granularity, we can list to you the opportunities in where we think the potentials are both on a product and a market segment, but trying to tell you exactly what that will be is going to be difficult for us to do.
Amir Rozwadowski - Barclays Capital: But it is fair to say, Tom, that right now given the number of initiatives you have out there with your carrier customers that the growth trajectory that you see, at least for the near term, seems to be pretty optimistic about the growth trajectory at least for the near term?
Thomas Stanton: There is no doubt we do not believe we have topped out. I mean, and yes, if you look at all of the pieces that are still laid in front of us, I mean we talked about the fact, Broadband Stimulus hasn't happened yet, there are opportunities through some OEM relationships that are yet to come online. There are awards that we have won and have already kind of started installing that we have not yet really seen fully kick in yet. So there are an awful lot of opportunities out there yet.
Amir Rozwadowski - Barclays Capital: Great, that's very helpful. And then I know you touched upon the gross margin decline on a sequential basis here in the fourth quarter. You mentioned there's a little bit more activity on the services side. How should we think about that from a mix perspective going forward? Do you expect a larger contribution of services or was this more of an initial planning phase that sort of impacted the gross margins this quarter?
Thomas Stanton: I mean, we are actively trying to grow our gross margin. As Jim said, it's something that's accretive to our operating margin. There's just a well-known impact as you sell services that the gross margin is not the same as what we're getting on our product. And so do we expect it to grow next year? Yes. Do we think, ultimately, it will lead to a stronger bottom line than if we didn't have them? Answer to that is yes.
Operator: The next question is from Rich Valera of Needham & Company.
Richard Valera - Needham & Company, LLC: I just wanted to clarify the answer to that last question with respect to gross margin. It sounds like maybe what you're saying is the fourth quarter gross margin is sort of a new baseline based on an expected higher level of professional services. Is that fair?
Thomas Stanton: I think that's not a bad way to look at it assuming that we keep the same level of services that we had in the fourth quarter. And to give you a sense without getting too granular on the exact details there. But to give you a sense, we would be strongly in the 59s kind of numbers if we didn't have the services piece. But again, our operating margin would be less than it is today. So to take that down, I mean I think our product margins are very stable and they've been at the same stable range now for a long period of time, and then incrementally as we have services, you'll see a degradation of gross margin, but an increase in operating margins.
Richard Valera - Needham & Company, LLC: And, Jim, I was wondering if you could provide some color with respect to both tax rate and your investment income for 2011, sort of what you're thinking about on those two fronts for 2011?
James Matthews: Well, in terms of the tax rate, in terms of an effective rate for 2011, we're thinking for planning purposes in the range of about 34.5%. Now as you know, as we go through the year, there are specific discrete items that may impact an individual quarter on a positive note, as we saw coming through 2010. It's very difficult to forecast that potential. But from an effective tax rate standpoint, we're thinking in the range of 34.5%. And, Rich, sorry, your other question?
Richard Valera - Needham & Company, LLC: The investment income, which was fairly meaningful in 2010, just wondering if we could expect anything close to a similar level in 2011?
James Matthews: Well, I guess there's a potential for that. But it's very, very hard to predict based on how the market's going to react and how we manage the portfolio going forward. We did see in the fourth quarter the effect of some level of rebalancing in the portfolio. Also we saw the impact of the sale of one security that we've been involved in since the late '90s, prior to the company going IPO, and we trimmed some of our positions there because the stock is not faring very well, okay. And so that's some color on what we saw in Q4. Whether or not that continues going through 2011, I think it's difficult to say at this point.
Operator: The next question is from Mike Genovese of MKM Partners.
Michael Genovese - Citigroup: Number one, it looks like you haven't really seen a ramp yet in international sales. Internationals were about 5% of the quarter. But we're hearing about more and more international wins. Can you give us any help with expected revenue recognition from overseas customers?
Thomas Stanton: Yes, I mean I think the right way to think about it is that you're right, we did see an awful lot in the fourth quarter. There was an awful lot of activity associated with customers outside the U.S., but there wasn't an awful lot of revenue generated. And we would expect it to ramp up pretty much through the year. So I mean, I think there's a very good chance Q1 will be stronger than Q4 and you'll see Q2 grow from there and Q3 will grow from there. So I think that our thinking about that is you'll see a strong ramp, and you'll probably see an increase on a percentage of total revenue throughout the year.
Michael Genovese - Citigroup: Right. Okay. And then, I mean you're talking about kind of a mid-20s operating margin target, but you're pretty solidly in the kind of mid- to high 20s right now. As we think about these opportunities, whether it be stimulus or international expansion or any of the other laundry list of positive drivers that you gave, I mean are there any of those in particular that are really going to require an increased level of operating investment in the business to where we would think that this operating margin would tick back down to the mid-20s?
Thomas Stanton: Well, I think the difference is long term versus short term. So what Jim stated was what our long-term goal is. And that's what we’d like to make sure that people are realizing that over the long term, that's the way we're planning our business. But over the short term, I’d like to point out that in last year, we beat that. And for some period of time, we've been comfortably above it and there's no inflection point on the expense side that we see really pushing that in the near term. It's really more of a long-term planning. So I think if we continue to post strong numbers over the next few quarters, there's a very good chance we would exceed that.
Operator: The next question is from Ehud Gelblum of Morgan Stanley.
Ehud Gelblum - Morgan Stanley: First of all, when you talk about the Services side and the gross margins involved there and the impact it has on gross margin, how should we be thinking about the gross margin of the Services business? Is that like a 30% gross margin, a 35%? How should we be looking at that as we model things out?
James Matthews: Well, Ehud, our Services revenue isn't yet at a level that we would actually disclose that. But in terms of the operating margin on Services business, it's very nicely above our stated operating margins.
Ehud Gelblum - Morgan Stanley: Should we assume that there's no OpEx associated so that the operating margin, when you talk about it being above your 27%, is the operating margin for Services pretty much the same as gross margin?
James Matthews: That is correct.
Ehud Gelblum - Morgan Stanley: Okay. Can you give us a sense as to what that margin is, so as we kind of model things out and we say, so it's obviously not 25%, but I mean is that like a 35% number? So if I were to model Services growing at a certain pace, I'd know kind of what to do with the whole business? Is it above 35%?
James Matthews: Well, again, I'd hate to disclose that other than what we've talked about in terms of the impact on gross margin. We talked about the impact on gross margin in the fourth quarter as an overall gross margin so...
Thomas Stanton: But I think, in the general sense, I mean if you figure that right now, we're operating at a high 20s from a product operating margin perspective and we're saying that this is higher than that. It's not in the 40s. So I think you're thinking in the 30s range is probably a good way to think right now. As that grows and scales, we'll see how that does and see if we can improve it. But that's not a bad way to think about it.
Ehud Gelblum - Morgan Stanley: Excellent. Now it sounds though from what you've said in the past as well as now that it will grow as the year goes on or should go, so...
Thomas Stanton: We fully expect it to grow in 2011.
Ehud Gelblum - Morgan Stanley: But then you said in answer to a previous question that we should we looking at the current gross margin as being a good baseline going forward. Wouldn't the gross margin come down?
Thomas Stanton: Yes, you're absolutely right. That's the baseline going forward based on for the revenue and the percentage of services that we had today. So you're right. I mean you're liable to see a tick in that if we were to have an extraordinarily strong Services revenue in any particular quarter.
James Matthews: But overall, we certainly expect that our hardware revenues will continue to grow as well.
Ehud Gelblum - Morgan Stanley: That was my next question, so as you're talking about Services...
James Matthews: I think the question is whether or not the relationship will change, and I think it's too early to tell at this point.
Ehud Gelblum - Morgan Stanley: Okay. So the commentary before that Services revenue definitely grows as the year goes on does not necessarily mean it grows as a percentage of revenue. It just means it grows and hardware should be growing as well.
Thomas Stanton: Hardware, we fully expect to grow as well, right. So a lot of things there, of course, they're interrelated.
Ehud Gelblum - Morgan Stanley: Correct. Now moving to one of the big contracts, the big one in Latin America, that you’ve been talking about in the past, clearly, it wasn't in Q4, but certainly international revenues were essentially flat, like people have talked about before. You're saying it's going to get larger as you get into Q1 and larger throughout the year. Can you go back to some of the commentary that we've talked about and kind of rehash some of that as to how large that particular contract could be? I mean could it be $5 million in Q1 coming out of that particular contract, $10 million by the middle of the year, the end of the year? How should we be looking at that international contribution from that large customer?
James Matthews: Ehud, I don't think we're at a point to where we can be that granular at this juncture in regards to any single customer. But overall, we expect that it will provide a material contribution, certainly a material contribution in 2011. And we'll begin to see, as Tom said, a nice impact in that regard in the first quarter.
Thomas Stanton: And I'll add a little more color why we're maybe dancing a little bit around this question. It's because it has to do with the customers that are actually involved and their ability to get them installed and to get them up running and us recognizing that revenue. And sometimes there are pieces of that, that are within our control and sometimes they aren't. So I think the buckets that you're talking about don't scare me as far as them being too large. I think it's just a matter of trying to say, will this actually happen in this particular quarter or within a quarter is whether their business would come in.
Ehud Gelblum - Morgan Stanley: Right, understand. Now when you talk about material, is that like in the technical GAAP definition of material as in 5%? Or how should we be kind of trying to interpret the word material?
James Matthews: Ehud, I think that's too granular at this point.
Thomas Stanton: I think the bucket you talked about is kind of the right way to be thinking about it.
Ehud Gelblum - Morgan Stanley: Okay. And how long does that contract go for? Is that a couple years?
Thomas Stanton: There's no fixed time around it. The way to think about this particular contract is phases of deployment and periods of time when the customer's trying to get things done. And typically the way this customer operates is as you get kind of halfway through it, they talk to you about the next thing.
Ehud Gelblum - Morgan Stanley: Okay. And the last thing, I know people have asked you about HDSL earlier and that is obviously, you have the least visibility into what's going on with HDSL. But every so often, you do give us a sense as to what you think the next year might bring in terms of just the full year. Should we be looking at this as a double-digit decliner, as a mid-single digit decliner, as a mid-teens decliner?
Thomas Stanton: We'll give you our best guess. And as you know, based off of the last two years, our best guess is worth exactly what you paid for it. But I mean, we are absolutely seeing some strength. In talking to customers we're hearing that, that strength is going to continue on for some period of time and that makes us feel better. But we're coming off of a strong year and all of us realize that there's just a lot of fluidness in the way that the wireless carriers are planning their network right now. So we just feel not comfortable saying flat. We're not comfortable saying growth. It very well could grow this year, but we're not comfortable saying that. So we're coming out of kind of a mid-single digit decline, which we think is probably just a reasonable view on what the HDSL market should do. We don't expect a double-digit decline.
Operator: The next question is from Sanjiv Wadhwani of Stifel, Nicolaus.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Jim, just to clarify on the Services piece, you said it's not large enough to disclose. I'm presuming it's less than 10% of revenues. And I'm curious whether it's actually even 5% of revenues?
James Matthews: It is less than 10% of revenue. And as we go through the year, we actually don't anticipate at this point to reach 10% of revenue.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Okay. Is it at the 5% level, can you talk about that?
James Matthews: I mean it's probably a little bit lower than that, yes.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Okay. And I'm curious, is this associated largely with one customer, or are there multiple parties involved here as far as customers are concerned?
James Matthews: In this particular quarter, the fourth quarter, it was largely with one customer. And we should see that expand as we go through 2011.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Got it. Okay, that's helpful. And then second question, if I look at sequential growth, the overall growth was 1.5%. At the same time, your two of the three largest customers, Verizon and AT&T, fell sequentially. Qwest grew sequentially. I'm curious, I mean was the growth overall skewed towards Tier 2 and Tier 3 customers actually?
Thomas Stanton: Yes. Of course, we saw growth on our enterprise side as well, but yes, I mean we definitely saw some good interaction in the Tier 2 and Tier 3 space.
Sanjiv Wadhwani - Stifel, Nicolaus & Co., Inc.: Got it, okay. And one actually last follow-up on the services piece. It's fair to assume that Services grew sequentially from 3Q to 4Q? And if that was the case, then what was that growth?
Thomas Stanton: Services grew 3Q to 4Q, yes. I mean I think it grew from basically very close to zero to the levels that you and Jim just talked about.
Operator: The next question is from Jim Suva of Citi.
Jim Suva - Citigroup Inc: The question is, first of all, on the outlook of flat to down slightly. When we look at, historically, or at least the last four years of your business, there's only been one year that was down Q1 versus Q4 and that was down 1.8% in March of '09. All the other quarters have actually been slightly up. So can you help me understand what's different now in your outlook versus what I would view as historically, it's actually flat to slightly up? And then the second question is, on your Services revenues, is it fair to consider those revenues to be more stable or is there a lot of seasonality with the Services revenues as one progresses through the various quarters of the year?
Thomas Stanton: Jim, you want to take the first one?
James Matthews: Yes. In terms of the seasonality question on Services revenue, I think a lot of it has to do with where the customer is based as it might relate to weather. So if we have a Latin American customer, maybe not as much seasonality may apply there. And now in terms of the guidance, our guidance of flat to down, yes, I pretty much agree with what you say with history; I mean we’re either slightly down or slightly up, okay. And flat to down I think where we actually end up is going to be based on activity levels that we see in the Broadband Access category, okay, whether or not we exceed that guidance range that I gave you. So at this point, it's our best guess.
Operator: The next question is from Blair King of Avondale Partners.
Blair King - Avondale Partners, LLC: I just have one question, a follow-up on a couple of the questions that had to do with the international opportunities. Obviously , Latin America has been a nice bright spot for ADTRAN over the past couple of quarters. But, Tom, maybe you could expand on some markets or some regions outside of Latin America that also gave ADTRAN some confidence in the growth of International business this year?
Thomas Stanton: Sure. Actually, let me modify a little bit about the perception of what's been a bright spot and what's not been a bright spot. Although we've done an awful lot of activity in Latin America, we have yet to see the meaningful revenue potential materialize there. We're very confident because of where we are with both positioning people and actual products in the field, but we haven't seen that yet. So that, to us, is something that's yet to come. We also have been doing an awful lot in Western Europe and there's an awful lot of opportunity, both in the Ethernet-over-Copper, Ethernet-over-fiber type products as well as Broadband in general. In the 1100 Series, we just came out with a new product, which we introduced in Europe about two months ago called the UBE, which is Ultra Broadband Ethernet, which was actually designed and built in conjunction with some Western European carriers to solve some very particular needs they have. This drive towards getting to 100 megabits is not a U.S.-centric drive. It is a drive that's happening around the world and an awful lot of them are looking at the fact that fiber-to-the-prem makes sense for some portion of the build, fiber coming out of the central office or DSL coming out of central office makes sense for some portion of the deal, but there's a very large gap in between. And we're seeing an awful lot of inquiries and actually sales picking up in Western Europe, some in Asia, in South America, other than just the customer that we've talked the most about. So I think it's a fairly broad-based piece. Turning those into material revenue, getting them to ship, getting them recognized, those are all issues that we're going to have, but it's not a single customer event.
Blair King - Avondale Partners, LLC: In terms of a couple of others on the OpEx side, is there an investment that needs to be made in places like Western Europe or Asia that would lead the operating margin lower over the next several quarters?
Thomas Stanton: If you take a look at the growth that you've seen over the last year, although I would agree it hasn't kept up with our revenue growth and because of that our operating income has increased, but if you look at the growth of the sales and the R&D line, a very large percentage of that is geared towards a prepositioning the type of things that we're looking forward to in 2011. So I don't see a watershed. You may see a tick up as the year increases. We tend to try to track that with revenue growth, but I don't see an awful lot of prepositioning that's going to be out of the norm of what you've seen from us over the last two years.
Operator: The next question is from Nikos Theodosopoulos of UBS.
Nikos Theodosopoulos - UBS Investment Bank: Just back on professional services, are all those revenues recognized in the Broadband segment?
James Matthews: Yes.
Nikos Theodosopoulos - UBS Investment Bank: Okay. Is there a possibility that, that would expand into like optical? Or is it really just a services that it's tied to outside plan type of deployment?
Thomas Stanton: At this point in time, I don't expect, in the near term, I don't expect anything meaningful outside of the Broadband segment.
Nikos Theodosopoulos - UBS Investment Bank: Okay, okay. And was there any positive impact from Frontier, given the upgrades they were doing? I think in the last quarter you mentioned that there was not much of an impact. Did that start impacting fourth quarter results? Or is that still revenue that has to be recognized in the future?
Thomas Stanton: We've got a very good relationship with them. They are definitely moving aggressively with their product, and we are one of the beneficiaries of that. And we saw that in the fourth quarter.
Nikos Theodosopoulos - UBS Investment Bank: Okay, okay. And just last, back on the tax rate, I think, Jim you said the effective tax rate would be 34.5%. I'm trying to understand why would it be that high? I think the effective tax rate this year was 31% to 32%, somewhere in that range. Why would it go up in 2011?
James Matthews: Well, a couple of things here. First of all, we had some discrete items impacting each quarter as we came through the year as a net positive. And also you probably noticed on the earnings release where we did receive the benefit of the R&D tax credit of $4.5 million. Now there's a meaningful portion of that, that relates to stock option exercise related to engineering employees that are included in the R&D credit calculation. And the benefit of those stock option exercises are included in that calculation. So the question is whether or not that will be continuing going through 2011. We have to account for the effect of that in the quarter that it actually happens. So we have to be very, very careful about how we talk about a tax rate until an economic event actually happens. So those are mainly the two components that are accounting for the difference, so to speak, that you're talking about.
Nikos Theodosopoulos - UBS Investment Bank: You mentioned earlier about things that you look forward to in 2011. One of them was OEM relationships that have yet to come in. And I think we're familiar with the Ericsson relationship that you have. Is that the one you're talking about? Are there others? And if you can, just update us on what's happening with the Ericsson relationship?
Thomas Stanton: Yes, here, again that is getting very specific. But yes, there's only one and that is something that's progressing. And the way that view that, without trying to time the exact timing as to exactly when that will occur, and all of that is moving forward. So it's not explicitly in our near-term view as to something that we're going to recognize, but we see that as still moving forward, still a great potential and still something that's yet on the horizon.
Nikos Theodosopoulos - UBS Investment Bank: And if and when that starts, you would view that as additive or replacing sales you would have done direct?
Thomas Stanton: That's without a doubt additive.
Operator: The next question is from Simon Leopold of Morgan Keegan.
Simon Leopold - Morgan Keegan & Company, Inc.: One is kind of just thinking big picture about the year. Coming off of this first quarter guidance, if I were to apply normal seasonal patterns just on that kind of scenario, it seems that your growth could be in the mid-teens for all of 2011. And I just want to see if you see anything flawed in just applying that kind of scenario?
Thomas Stanton: I understand the math and the definition, of course, is how far back do you want to go back to define seasonality. What I want to be careful to do is not give second quarter guidance on the call here. But I would say the general trend of us getting larger in the second quarter and then larger in the third quarter and then typically a decline, albeit that didn't happen this year, typically a decline. There's nothing that keeps us from thinking that, that won’t happen again this year. We started to see some changes last year where customers were really trying to get their act together, and if you look at on a customer-by-customer basis, you can see some of them operated different than what they had historically in the past. And we have yet to see what they're going to do this year. And we break out our 10% customers. And I think if you just look at the revenue flow from that 10% list over the last couple of years, you can see there's been some shift there in the way that they have operated. So I'd hate to try to guess that at this point in time, but I think the general trend of Q1 and Q2 being up and then Q3 being kind of slightly up and then Q4 typically being down is still the way we would think about it.
Simon Leopold - Morgan Keegan & Company, Inc.: Okay. And then just the last one is trying to understand what might have been the surprises in the fourth quarter for you relative to the forecast you gave us. And maybe a second part to that question would be, more specifically, was there any really -- looking at your, let's say, top five customers, any new projects coming into the mix? Or are those kind of new projects still in the pipeline? So what's the sort of source of the upside?
Thomas Stanton: No new projects other than one that was already talked about and I wouldn't call it new. It was new in that it was kind of the first time we've recognized revenue for specific builds that were going on with that customer. That was not a 10% customer. But in general, no new projects, I think it was just continuing at a pace that was a little bit swifter than we expected. We typically see a downtick in Q4 across all of our customers. We didn't see that this time, so they continued on in earnest longer into Q4 than we would typically have seen.
Simon Leopold - Morgan Keegan & Company, Inc.: So what surprised you then is sort of what I'm trying to get at?
Thomas Stanton: Well, if you look at them, if you look at the larger customers, I mean, some of the larger customers continued to buy on. The Tier 2 and Tier 3 space that we talked about came in stronger than we would've expected. We would expect to see a more seasonal decline than we saw in that space and that largely showed up in the Broadband space. Okay, Nicole, I think we're past our time now. So I'd like to thank everybody for participating on the call today. And we look forward to talking to you in three months.
Operator: Thank you. This concludes today's conference. You may now disconnect.